Operator: Thank you for standing by and welcome to the Sandfire Resources December 2024 quarterly report. All participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions]. I would now like to hand the call over to Mr. Brendan Harris, Executive Officer and Managing Director. Please go ahead.
Brendan Harris : Good morning everyone and welcome to our December quarterly call. It's great to have the chance to reconnect and we have our executive team here with me today for the all important Q&A. Before we start, I'd like to acknowledge the traditional custodians on the land on which we stand, the Whadjuk people of the Nongo Nation, as well as the First Nations peoples of the lands of which Sandfire conducts its business. We pay our respects to their elders and leaders past, present and emerging. Starting with safety, we close the quarter with a drift of 1.6, a decrease from the 1.8 reported at September 30, 2024. The work we're doing to embed the Sandfire way is a multi-year process that starts with policies, standards and procedures, and when successful, permeates culture. And of course, we must believe it's possible to have a workplace free of all injuries. It's this focus that will further embed our company as a valued member of our communities and enhance our license to operate. This is critically important when it comes to the longevity of our operations and the myriad of approvals we rely on. And that's why it was so pleasing to receive the Mining Authority approval for our new tailings facility at MATSA. It's a particularly important milestone as the new facility provides the footprint to support mining beyond 2040 and will enable the complex to remain an important contributor to the Andalusian regional economy in Southern Spain. At an operating level, our steady start to the year ensures we are well positioned to deliver on the commitments we've made to you for FY’25. We increased group copper equivalent production by another 5% in the half to 75,100 tonnes to finish the period at 49% of full year guidance. Very much aligned to the update I provided in early December. At Motheo, admittedly we're slightly behind where we expected to be at the start of the year having achieved copper equivalent production of 28,600 tonnes across the six month period. Somewhat ironically however, our level of confidence in the outlook has only improved. That's because we've shown we can operate Motheo at a 5.6 million tonne per annum rate across the six month period, well beyond its design capacity, and we now expect this to be a sustainable rate on average for the foreseeable future. And as we discussed in December at our exploration date, we've also confirmed our new interpretation of the geological controls of mineralization at both T3 and A4 and are adapting our plans accordingly. Collectively, we expect this work and our annual life of asset planning cycle underway now to confirm an incremental increase in forecast copper equivalent production in FY’26 from the circa 58,000 thousand estimated previously and a smoothing of the production profile into FY’27, bringing forward yet more free cash flow and creating tangible value for our shareholders. Turning to MATSA, it's so pleasing to see our Spanish mining complex sustain an annualized mining and processing rate in excess of 4.6 million tonnes per annum again in the quarter for copper equivalent production of 22,800 tonnes to sit at 49% of annual guidance at the halfway point of the year. Our continued investment underground is really paying dividends as we've created much more resilience in the mine plan and this will only improve as we ramp up activity at San Pedro and Olivo in future periods. Arguably, I think you've seen we're doing even better on costs, particularly at Motheo, where we're realizing greater economies of scale such that we've reduced annual guidance by 7% to $39 per tonne of ore processed. At a C1 unit cost level we see a similar 7% reduction to $1.41 per pound as a result of lower expected treatment and refining charges. We've also retained underlying operating cost guidance at MATSA at $75 per tonne of ore processed for FY’25 given the level of improvement observed in the quarter and recent weakness in the U.S. Euro rate. And of course we're converting when and where it counts as our steady start operationally and healthy prices for our commodities combine to deliver unaudited group sales revenue of $290 million and underlying EBITDA of $134 million during the quarter for a further $57 million reduction in net debt to $288 million at December 31, 2024. The cumulative $193 million reduction in net debt that has occurred in as little as nine months illustrates the cash generating capacity of our high quality and low cost operations and the rapid progress we are making towards our targeted net cash position. We're also well advanced in our efforts to further modernize our debt facilities and rest assured we will maintain strict capital discipline as our targeted exploration program gathers momentum and primarily focuses on our MATSA and Motheo hubs. So, as I said at the beginning, we're on track to deliver on the commitments we've made to you and our simple strategy is unchanged because it's the right strategy for our shareholders. Thank you. Let's go to questions.
Operator: Thank you. [Operator Instructions] Your first question comes from Levi Spry with UBS. Please go ahead.
Levi Spry: Good day, Brendan. Happy New Year to everyone there. Thanks for the call and nice news at Motheo. Can you just talk me through what the other implications are from running at 5.6 so maybe, I guess increased mining rates, how you're prepared there? And also the grade profile and how we should think about that as opposed to just hitting it faster, basically.
Brendan Harris : Yeah, great question, Levi. And happy New Year to you and everyone else on the call as well. I think maybe I'll make a couple of very quick remarks and then pass to Jason to talk about perhaps the medium and longer term. I think one of the critical elements in our guidance and I talked about this confidence we have. Obviously, we've now run the facility consistently at rates well above design capacity. It's a new mine. Every day we can achieve that. The confidence grows. The amount of work that Richard, his team combined with the local exploration and mine geological teams, the work they've done to reinterpret the genesis of mineralization and the structural controls, all of these things just are additive to our knowledge. Again, at a business that it's not long ago we were talking about first production. And so that really starts feeding into that long term planning process. And I mentioned that LOA process is very much underway now. But as we look to the second half, one great thing is not only is the facility performing well, but the mine plan is to a large degree de-risked as we look to the second six months because we're all bound. We're all but all bound now. So we've really removed any of that potential risk around execution from a mining perspective. And so we have a high degree of confidence in the projections that we've provided for you. Of course, we need to continue to execute well. But this is a team that we've got a very high degree of confidence in. But maybe, Jason, if you can talk to some of the nuances around how grade has sort of evolved, how things have varied a little in the first half and why we have that growing confidence for the future.
Jason Grace: That's right. Thanks, Brendan. Thanks, Levi. So firstly, if I might just start with a higher level. And if you cast your mind back, we had previously given an indication to the market that we were preparing and making sure that we were prepared if the Motheo plant was able to be operated at a higher than nameplate throughput rate, which is now where we are very confident that we can take that forward and be able to sustain that 5.6. We had previously indicated that our mine plan had been designed particularly over the first two years, so FY’25 and FY’26, to be able to largely cope with a higher processing rate to give us that optionality. Should we be able to realize that upside? So that strategy has continued. So to firstly answer your question in terms of mining rates and what does that mean for us? If you look at it and with reference to Appendix A, overall, we're still planning on doing the same TMM overall for the year. But coming back to Brendan's point there as well, what we've seen, particularly in conjunction with the higher processing rate at 5.6 and the recent updates that we've done on the understanding of our geological interpretation, we've shifted a bit of metal around. And what we've done particularly in Q2, and that strategy will continue throughout half two for FY’25, where we've actually accelerated mining in Stage 2 and we've slowed down Stage 1 and we're maintaining our overall throughput rate or our TMM over at A4 there as well. So what that will do is make sure that we deliver the tonnes that we require for the year at a slightly lower grade. And once again, I refer to Appendix A where we've provided updated information in there in terms of all mines, our ore processed, our grades for the year and our recoveries as well. So given that we are doing slightly lower grade, which is going from 1.1% copper for the year to 1%, and that's driven by those two factors, we've got a slightly lower recovery rate there for both or mainly for copper. So overall, I think that supports a really robust year and as Brendan said, definitely sets up Motheo for a really strong longer term.
Brendan Harris : And maybe Levi, those of you who know Jason know he's an incredibly humble individual. I just stress that from the day I walked into the organization, Jason was talking to me about the fact that there was the possibility and potential for us to extract greater performance out of Motheo. And so from that moment, they were already planning and making sure that the mine was configured in a way that it could respond. So it's not anything other than I'd say the team is well ahead of the challenge that running at a faster rate presents. And they're doing it in a way therefore that's very well planned, very measured and very much focused on value, which I think is very pleasing. And I think the only other element I'd add is it goes back to the exploration day that we obviously discussed back in December. And clearly, it is the right time for us to be accelerating the drilling activity, the drilling activity that's needed to discover those new ore sources. We've literally in recent weeks, we've just commenced drilling the fold repetition at A4. We're drilling out A1 through the infill program to obviously look to bring it into the mine plan. And of course, we're really accelerating the work regionally to identify not only those new targets, but hopefully identify those new discoveries that we can then work very hard on to also add to the future mine plan for Motheo.
Levi Spry: Yeah, great. Thank you. Thanks for the detail. Thank you.
Brendan Harris : Thanks, Levi.
Operator: Thank you. Your next question comes from Ben Lyons with Jarden. Please go ahead.
Ben Lyons: Thank you. Good morning, Brendan, Jason, everyone else on the call. I'd like to extend Levi's questioning if I may please, and possibly push it out into fiscal ‘26. Again, just looking at the interplay between the TMM and the grade profile, and obviously as the second ore body becomes more prevalent in the ore makeup. Brendan or Jason, you're talking to the same TMM for fiscal ‘25. But as you look into fiscal ‘26, is there any opportunity to accelerate the mining rates here? Obviously, the outperformance of the mill is putting pressure on the mining sequence. So is it as simple as the contractor throwing a bit more yellow gear at it, or does it just not justify the additional costs that would come from those kind of changes? Thanks.
Brendan Harris : Yeah, look, I'll pass to Jason in a moment. But I think a couple of things, Ben. We're being very mindful of the fact that this is still a new facility. We want to make sure we're running it in what we think is a very sustainable way, thinking for the long term. As we've said, we've been working in the background, reconfiguring where we can, pit shells and so on. And we've been, I guess, describing that along the journey, which is I think we've just described sets us up very well. Part of the reason we're not getting that higher volume metal production, if you like, contained metal this year, is somewhat of an artifact of that first six-month period. And we're really well positioned as we move forward. Now, we've always said, however, that as we run at a faster rate, before that A4 pit sequence really gets into gear. We're going to need to rely to some extent on lower-grade stocks to supplement if you like the ROM production that you're referring to. And that is why we use the words very carefully, and we're very pleased with this, by the way, that we think there is incremental upside to the ‘26 number we provided previously of 58,000 tonnes. And when we say incremental, you're talking 59,000-60,000 tonnes is probably how we see it, which is consistent with what we talked about before. The other thing, though, Ben that I think not only that we're doing that in a way, and I'm sure it's not lost on a lot of you. We're achieving that high throughput rate at the same absolute operating cost, which is what's delivering the significant reduction in the units cost basis. So we're really realizing those economies of scale. And then as you look into FY’27, we'd always said the challenge is, how do we make sure we bring forward metal production through re-sequencing such that we smooth that production profile? And we're still not quite certain exactly how that's going to look, but certainly we'd envisage that FY’27 will also show improvement and important improvement when we come back and talk to you at the full year. Jason, I don't know if there's anything you want to add to that.
Jason Grace: Look, I think you've covered it well. I think the key point here is that this work is still in progress, but we're well advanced enough to know that -- look, if we look at the final pit design, we don't expect that to vary greatly. There's slight changes here and there. With the new geological interpretation, however, it has shifted metal around in terms of location spatially. So we have been doing a lot of work, particularly on staging designs. And using this new and much better geological interpretation to really refine that life of mine plan and set us up for even further success. So I think Brendan's captured it at this stage, particularly in FY’26. We expect incremental improvement. Confident as we've indicated before, that we'll fill that gap or that reduction that we saw in later years in the original mine plan. And we expect to finalize that work during this quarter and support that with an updated ore reserve as part of an annual update sometime in Q4.
Ben Lyons: Okay. Thanks very much. I'm hoping to just squeeze another one if possible, please. Maybe just turning to North America, possibly a bit of hidden value in the portfolio. Yeah, clearly there's a rapidly changing environment over there under the new administration, which maybe it's putting a bit more value on North American copper units. So in that context, great to see the potential incremental capital being directed at Black Butte later this year. Just wondering if you can just broadly talk through the scope of the updates that you're looking at for the feasibility study. And, similarly working towards that timeline for a potential FID at the end of next fiscal year. Thank you.
Brendan Harris : Yeah, good one, Ben. And I think you've described it well. And it's something that we've been talking about is, I guess, some of the winds that are blowing in the external environment would potentially suggest that copper units in America as you've described potentially are more valuable. The way I see that is it just really further emphasizes why we need to move forward with discipline, but with real intent. And that's what the toll gate that we expect Sandfire America to come back to us as their major shareholder imminently is to seek approval to move through into that toll gate to basically complete the work required to go to FID and the time horizon that you've talked to. We've said we think that program is going to require around $20 million. Part of that is still drilling the lower zone to extend the lateral area of that high grade. All that is, we know now is very much more critical to the economics of the project, given the current cost environment that we see in North America. I think from there we've always said that as the major shareholder we retain all options. The main job for us is maximizing the value of that, as you call it, embedded option. And I think the environment that you've just described externally just, if you like increases the options that we have. And that's something that we're going to work through very closely. I think the most important thing that needs to happen is that a new mine is developed in the White Sulphur Springs district because it's going to bring valuable jobs. We think it's going to be a very attractive boutique copper mine. But again, we'll continue to assess all of our options in terms of long-term participation with a focus on our own shareholders and value.
Ben Lyons: Okay. Thanks very much, Brendan. I'll pass it on. Thank you.
Brendan Harris : Thank you, Ben.
Operator: Thank you. [Operator Instructions] Your next question comes from Kaan Peker with RBC. Please go ahead.
Kaan Peker: Hi, Brendan. Just another follow-up question on Motheo. Just if you can give an indication of that initial A4 oil feed. How's that gone through the plant? My understanding was that essentially A4 feed would increase into FY’26 and that was a higher grade. So is the approach now to have a consistent feed of 1% to 1.1% copper into Motheo at that increased rate?
Brendan Harris : Yeah, look, so Jason can give you the detail. But I think the answer is broadly yes and yes to what you're saying. So A4 is now in that position feeding first ore, but it's really incremental. And we've said that it won't be a meaningful contributor this year. It's really ramping up into next year, and it does bring that grade benefit. But of course, as we've said, we've re-sequenced T3. We've got the two stages operating, and it's that blend of A4 bringing higher grade combined with T3, which will give the average outcome at. We believe, a 5.6 million tonne per annum rate is what we'll be targeting to get you somewhere in the high-50s and hopefully 60,000 tonnes of copper equivalent, and that's probably the way you should think about it. But, Jason, anything to add?
Jason Grace: Look, our strategy there is, particularly for this year, is largely the same and for next year. We're still forecasting to be just over 200,000 tonnes of ore mined from A4. We have completed the grade control on the upper levels of the upper tip of the ore body, and it's looking good. We're getting some very good high-grade material coming out there. Now, I do note that in Q2 we only mined just below 14,000 tonnes of ore. So, in terms of performance through the mill at a 5.8 million tonne per annum rate, it's really too early to tell, but everything's looking good and particularly when we look at acid-soluble copper, which is our indicator of level of oxidation and, in turn translates through to recovery in the mill, it's all looking as expected.
Brendan Harris : And maybe, Kaan, just to make sure we avoid any doubt, same ore bodies, slightly higher grade, boronite, chalcopyrite, very cool [ph] sulfides, same characteristics of T3, just slightly higher grade. We expect it to perform at a larger scale in exactly the same way, where we get a very high level of recovery in the very early stages of the float circuit. I mean, these are very, very nice rocks to process.
Kaan Peker: Understood, very clear. Secondly, on MATSA, just wondering what was causing the fluctuations in copper recoveries on the polyline?
Brendan Harris : Yeah, look, Jason can give you the detail. But as we've talked about in the past, as we move through different areas and you get different metallurgical combinations that immediately feeds through into recovery. I think what you've seen over a number of periods now is we are delivering, on average, that growth in recovery, and what you'll see into the guidance is that we expect that that's very much on track. And obviously, the grade variability will work in our favor coming into the second half overall, which again means that we're not getting surprised. We've got that resilience in the plan. But from quarter to quarter, underground polymetallic open shaft operation, you're going to see a degree of variability, just like we do at any other mine like in the industry. But maybe, Jason, anything specific?
Jason Grace: Yeah, Kaan, particularly if you look at head grades there for polymetallic ore and particularly the copper grades. So, for the quarter, we average 1.5 versus, I think, prior quarter of 1.8. So that's your immediate big driver of recovery drop. And I would note that it's the lowest grade on the poly zinc in terms of copper ore that we processed in about a year. But what we are seeing at MATSA is overall those recovery trends are trending up significantly, particularly when you take into account the metallurgical variations in the ore bodies that we see, which are quite significant. So, looking forward to the second half, those grades are going to go up slightly into the second half of the year. So I would expect that those recoveries do return up in conjunction with that.
Brendan Harris : Yeah, I think the thing that we tried to emphasize in our report is this is, I'd say, typical variability for a complex such as MATSA. And really what I'm focused on is that when I look across periods. We're building that resilience in the mine plan, that the underground investment is paying off and that we're seeing directionally the benefit of work that we're doing around things like recovery, the way we're managing feed in the process facility and so on. And I think we can, across periods certainly see that coming through. So the team is doing, I think, an excellent job.
Kaan Peker: Thank you.
Operator: Thank you. Your next question comes from Paul Young with Goldman Sachs. Please go ahead.
Paul Young : Good day, Brendan. I hope you're well and the team as well. Brendan, back on Motheo, just with the performance there with respect to mill throughput. I mean, great to see it running above nameplate. Looking at the numbers in the last couple of quarters, if you look at throughputs being going up and actually concentrate grades and actually recoveries being going up also, which you rarely see. So I think that might mean, and maybe you can answer this question, do you have sufficient residence time in the flow plan or has that been overdesigned? And then looking at FY’26, if you are increasing mill throughput, do you have the ability, I know we're talking small numbers here incremental improvements, but could you have the ability to pull a float circuit harder and actually try to really push your recoveries even further?
Brendan Harris : Yeah, look, and maybe, Jason, he'll love this question because we talk quite a bit about this. I think you've described it well in many respects that it's still very early. And so we've been dealing with ramp-up, we've had first shafts we've obviously had to commission a ball mill. So we haven't really had whilst it's been an incredibly successful process overall. We haven't had what you'd call steady state. And so it's fair to say that the team's focus very much is going to shift towards some of these elements. I mean, the reality is, and Inke [ph] probably won't like me saying this, the chap who designed, built the project, there are elements of the circuit that are probably over-engineered. So we haven't even turned certain elements on because we haven't needed to. I think I've mentioned in the past, because of the coarse nature of these sulfides, the boronite and chalcopyrite, we're getting very high rates of recovery straight into the rougher circuit. And so that's been working very well. We did mention early on, as you'd know, that the sag mill we were finding that the oil was softer and therefore we were having some challenges with grind size. So all of these things we're starting to get a better handle on. Now, of course, it's only relatively recently as well, Paul, as you know that we actually managed to put the new OEM throughputs in place. And so we were also back in constraints. So that also impacted how we were managing feed and, if you like, the trade-off of recovery versus throughput. So all of those things have played into the, I guess, how things have played out over the first call it close to 12 to 18 months. But we're now starting to move into, I guess, a phase where, albeit we're bringing A4 in, the mineralogy is the same, we've got a better chance to really start focusing in on these incremental areas that can bring real value. But, Jason, again, I know this is something you and I talk a lot about.
Jason Grace: Absolutely. And look, the team over there has been doing a lot of hard work. And as you know, it's not just on the throughput rate. So we have been putting a lot of effort, particularly in lift during overall metallurgical recovery. And the team's making some really good inroads. And particularly when you look at Q2 in relation to a head grade of 0.9%, achieving a 92% recovery I was very, very happy with them. I think they've done really, really well. So, we're not quite where we want to be. And we think there's further improvement in recovery and we'll be working towards that. But the one thing I will note, particularly with half two, with us accelerating ore feed out of stage two of T3 open pit, what we are going to see is that we're back up in the upper sections of that ore body. So there's slightly higher levels of oxidation, which means our acid soluble copper percentage does increase, which impacts our recovery negatively. And if you look at it and particularly with reference to Appendix A, that's why we've slightly adjusted down recovery rates for the full year, which is on the back of predominantly that change.
Paul Young : Yeah, that's great. And then I think Brendan, you mentioned about that you haven't turned, I think you're referring to the regrind mill, which you haven't turned on, which you've got that flexibility to turn on if the mineralogy or the grain size gets finer and maybe even ore gets harder. But just as far as when you're pushing the plant on those months or weeks, weeks or months where throughput's really pushing, are there any noticeable bottlenecks in the float circuit? And, maybe I'm putting the cup for the horse here considering it is early days and the plant's been performing well, but is there any chat around just within the team about potentially adding additional float capacity down the track if required?
Jason Grace: Yeah, look, I'll handle that one, Paul. If you look at the constraints that we see at the moment, particularly running at a high throughput rate, and particularly if you see high corresponding grades at the same time is more around concentrate handling. We've got sufficient capacity in the float circuit. So your query before about opportunity to pull harder, absolutely, we have that opportunity and we don't need to invest further in terms of capacity in that circuit. Where we will see a constraint is when we see really high throughput rates or all processed tonnes in conjunction with higher grades. And that's one of the things that we are working through in the life of my plant in terms of is 5.6 optimum or should we invest in de-bottlenecking even further? But at this stage, we think, you know, the right answer is going to be 5.6 and continuing at that rate on a sustainable basis.
Brendan Harris : Yeah, of course, we're really hoping we're going to have another all source because Richard and his team are going to discover it within 70 kilometers of the hub and that'll open up a whole lot of other opportunities. Maybe one thing, Paul, we have talked about in the past. It's too early for us to be definitive, but we'll provide a further update in March. We said that, you know, at these higher rates, we might need some more tank capacity at the back end. And I think we talked about potentially $6 million-ish of capital for that. At this stage, that's looking potentially as though it's not required. As I said, we'll provide more of an update in March, but that would obviously be another benefit in terms of value for shareholders, albeit incremental. But again, we're getting a lot more confidence in how the plant is performing and what that means in terms of obviously throughput grade recovery, but also capital requirements.
Paul Young : Thanks, Brendan. Just lastly, just on housekeeping, just some provisional pricing. It looks like there might have been a small impact in the quarter. Anything to call out there just for housekeeping as far as just aligning revenues is concerned?
Brendan Harris : Yeah, just I guess I'd stress, Paul, we have our hedges. So, you know, they're obviously the traditional hedges that are in place under the MATSA facility agreement. But we slightly unusual compared to most because of the way our deals are structured, we actually put in place QP hedging. So whenever we sell a tonne of material, we actually immediately put in place a hedge based on that plan date of shipment. So we actually remove the provisional pricing impact. And that's why, unlike some of the other concentrate producers, you don't see that volatility. I think the question would be why? Well, if you think about the company that we've been and we're emerging from was a growth company that had significant underlying debt facilities related to an acquisition and a development project in Motheo. That didn't lend itself to wanting to have significant exposure working capital shifts, particularly related to things like provisional pricing. And so that's why that strategy was put in place. And it's worked very, very well for us. And I think you're seeing that flow through the numbers again this period. But Megan, I don't know if there's anything you want to add to that.
Megan Jansen : Thanks, Brendan. You've covered it well. I think the main item, as you noted is the MATSA hedges required under the debt facility. We set out the pricing associated with those in the quarterly report. That does play through in those real life prices for the period, Paul.
Paul Young : Yeah, thanks, Megan. Yeah, thank you. I've noticed that on Page 8, so apologies for missing it. Thanks.
Brendan Harris : No, that's all right, mate. But the QP hedging is a bit different. And I think it's a good strategy for a company like ourselves. And so it does take away some of that volatility, Paul.
Paul Young : Yeah, great. Thank you. Appreciate it.
Brendan Harris : Good. Thank you.
Operator: Thank you. There are no further questions at this time. I'll now hand back to Mr. Harris for closing remarks.
Brendan Harris : Look, thanks everyone for dialing in. I think great conversation. I think what it emphasizes is there's almost always more work to do. And we're very focused. We think we've had a very good first six month period. We're well set up for the full year. I think the work that Megan's doing on the balance sheet is even further de-risking the organization. And we look forward to speaking with you in February with our full year results or half year results, I should say. So thanks again for your time and good luck. Cheers.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.